Operator: Good day, ladies and gentlemen, and welcome to the Q1 2012 Calumet Specialty Products Partners L.P. Earnings Conference Call. My name is Christie and I will be your operator for today. At this time, all participants are in a listen-only mode. We will conduct a question-and-answer session towards the end of this conference. [Operator Instructions] I’d now like to turn the call over to Mr. Bill Anderson, Vice President of Marketing. Please proceed sir.
Bill Anderson: Thank you, operator. Good afternoon, and welcome to Calumet Specialty Products Partners investors call to discuss our first quarter 2012 financial results. During this call, Calumet Specialty Products Partners, L.P. will be referred to as the Partnership or Calumet. Also participating in this call will be Jennifer Straumins, our President and COO, Pat Murray, our CFO and Bill Grube, our CEO. Following the presentation, we will hold the line open for a question-and-answer session. During the course of this call, we will make various forward-looking statements within the meaning of Section 21E of the Securities Exchange Act of 1934. Such statements are based on the beliefs of our management as well as assumptions made by them, and in each case based on the information currently available to them. Although our management believes that the expectations reflected in such forward-looking statements are reasonable, neither the Partnership its general partner nor our management can provide any assurances that the expectations will prove to be correct. Please refer to the Partnership’s press release that was issued this morning as well as our latest filings with the Securities and Exchange Commission for a list of factors that may affect our actual results that could cause them to differ from our forward-looking statements made on this call. I will now turn the call over to Jennifer Straumins.
Jennifer Straumins: Thank you, Bill. We are very pleased with our results for the first quarter of 2012. On net income of $51.9 million, we have reported quarterly adjusted EBITDA of $69.7 million and quarterly distributable cash flow of $39.2 million. We continue to focus on our operations to meet demand for our specialty products and to better benefit from the widening crack spreads driven by heavy Canadian and Bakken crude differentials to NYMEX WTI. While this has been beneficial to our profitability, the increased volatility in these differentials has cost us to leave hedge accounting under U.S. GAAP. For the crude oil portion of our cracks spread hedges for our superior refinery. Pat Murray will discuss the impact on our income statements later in this call. Economically, we expect to continue to benefit from these wider differentials in the second quarter of 2012. On April 18, 2012, we declared a quarterly cash distribution of $0.56 per unit for the quarter ended March 31, 2012 on all outstanding units. The distribution we paid on May 15 to unit holders of record as of the close of business on May 4 and represent a 5.7% increase over the fourth quarter 2011 and a 17.9% increase over the first quarter 2011. I’ll now turn the call over to Pat Murray for a review of our financial results.
Pat Murray: Thank you, Jennifer. Net income for the first quarter of 2012 was $51.9 million compared to $4.2 million for the same period last year. These results include $26 million of non-cash unrealized derivative gains as compared to $0.4 million of non-cash unrealized derivative losses in the first quarter of 2011. We believe the non-GAAP measures of EBITDA, adjusted EBITDA, and distributable cash flow are important financial performance measures for the Partnership. EBITDA and adjusted EBITDA, as defined by our debt instruments, were $90.2 million and $69.7 million respectively for the first quarter 2012 as compared to $26.4 million and $34.7 million respectively for the same quarter in 2011. The Partnership’s distributable cash flow for the first quarter was $39.2 million as compared to $18.2 million for the same period last year. The increase in adjusted EBITDA quarter-over-quarter was due primarily to a $37.4 million increase in gross profit and $9 million of increased realized derivative gains. Partially offset by a $7.6 million increase in selling, general and administrative expenses and a $4.5 million increase in transportation expense. We encourage investors to review the section of our earnings press release found on our website entitled non-GAAP financial measures and the attached tables for discussion and definitions of EBITDA, adjusted EBITDA, and distributable cash flow, financial measures, and reconciliations of these non-GAAP measures to the comparable GAAP measures. Gross profit by segment for the first quarter of 2012 for specialty products and fuel products was $66.5 million and $17.8 million respectively compared to gross profit of $47.9 million and a loss of $1 million respectively for the same period in 2011. The increase in specialty products segment gross profit of $18.6 million quarter-over-quarter was due primarily to a 29.4% increase in sales volume, 9.5% increase in the average selling prices per barrel, partially offset by a 12.8% increase in the average cost of crude oil per barrel and higher operating costs, largely repairs and maintenance. The increase in fuel products segment gross profit of $18.8 million quarter-over-quarter was due primarily to 150.8% increase in sales volume, mostly as a result of the Superior Acquisition and a 9.2% increase in the average sales price per barrel, excluding the impact of realized hedging losses reflected in sales, partially offset by a 6.8% increase in the average cost of crude oil per barrel and increased realized losses on derivatives of $24 million recognized in gross profit, due to the extremely volatile nature of the pricing differentials between WTI crude oil and both Canadian heavy and Bakken crude oils in the first quarter 2012. Our WTI crude oil swap contracts entered into hedge the purchase of crude oil related to Superior refinery as part of our cracks spread hedging program are no longer closely correlated. And we will be required under U.S. GAAP to discontinue hedge accounting on these particular derivatives. As a result, we recorded $27.2 million to realized gain on derivative instruments on the income statement instead of within gross profit in our fuel product segment due to this loss of hedge accounting under GAAP. The effective portion of realized gains or losses on crude oil swaps which qualify for hedge accounting are recorded to cost of sales. Our fuel products segment gross profit for the first quarter of 2012 therefore does not reflect any impacts of our crude oil hedges related to our crack spread hedging program for this Superior refinery. Selling, general and administrative expenses increased $7.6 million quarter-over-quarter to $18.1 million. This increase was due primarily to additional employee compensation cost driven partially by the Superior Acquisition, which closed on September 30, 2011, with no similar expenses in the comparable period in the prior year, higher incentive compensation costs and higher professional fees during the quarter ended March 31, 2012. Interest expense increase $11.l million quarter-over-quarter due primarily to a higher interest rate associated with our 2019 senior unsecured notes as compared to our term loan that was repaid in full in April 2011 and extinguished in connection with the issuance of our 2019 senior unsecured notes as well as additional outstanding long-term debt in the form of additional 2019 senior unsecured notes issued to partially fund our Superior Acquisition. As of March 31, 2012, total capitalization for the Partnership consisted of Partner’s capital in the amount of $622.2 million and outstanding debt of $666.6 million comprised primarily of $586.6 million of 9.375% senior notes due 2019, which is net of discount of $13.4 million and borrowings of $74.2 million under the revolving credit facility. The $106.7 million decrease in Partner’s capital from December 31, 2011 was due primarily to $130.1 million in other comprehensive loss and $28.2 million in distributions to unit holders partially offset by net income of $51.9 million. On March 31, 2012, we had availability of $343.2 million under our $850 million revolving credit facility based on a $641.3 million borrowing base, $223.9 million in outstanding standby letters of credit and $74.2 million in outstanding borrowings under our revolver. We believe that we will continue to have sufficient cash flow from operations and borrowing availability under our revolving credit facility to meet our financial commitments, minimum quarterly distributions to our unit holders, debt service obligations, contingencies, and anticipated capital expenditures. And now I’ll turn the call back over to Jennifer Straumins.
Jennifer Straumins: Thank you, Pat. This concludes our remarks. We’ll now be happy to answer any questions you may have. Operator, can you please confirm if there are any questions?
Operator: Thank you, Jennifer. We’re doing detail questions for you. Your first question comes from the line of Darren Horowitz from Raymond James. [Operator Instructions]
Darren Horowitz – Raymond James: Now that you guys have had a bit more time integrating the Superior refinery and have a better feel for the feed they given the economics around running those heavier barrels. What’s your sense of run rate synergies?
Jennifer Straumins: Not quite sure what you mean by run rate synergies, are you talking about…
Darren Horowitz – Raymond James: Well, yeah I saw it when you had initially discussed integrating the asset, integrating specifically the refinery, how you’re thinking about what feedstock you would run on a consistent basis not only at Superior but also at Princeton and at Cotton Valley and at Shreveport. I thought that they were going to be kind of some integration targets and some synergies, cost synergies that were going to be extracted from molting that asset into the overall profile?
Jennifer Straumins: We, at Superior, we really like the – really the 50-50 crude swipe between the sweet and the sour. The one project we are working on is the rail project at Superior which will allow us to bring some barrels down into the Louisiana refineries and that could be barrels of whole crude or intermediate of finished products for further upgrading. So that project is continuous planned and it will be done later this year.
Darren Horowitz – Raymond James: And what’s the expected cost on that?
Jennifer Straumins: We haven’t disclosed that.
Darren Horowitz – Raymond James: Okay.
Jennifer Straumins: It goes into that $25 million of CapEx for the year. So it’s still part of that number.
Darren Horowitz – Raymond James: Okay. And as it relates to this Shreveport refinery, can you just give me a sense for how many WTI based barrels that assets running right now?
Jennifer Straumins: It’s running about 30,000 barrels of WTI based barrels.
Darren Horowitz – Raymond James: Okay. And that’s out of aggregated of what about 58 or 60?
Jennifer Straumins: No, out of – we’re running about 48,000 barrels a day at Shreveport.
Darren Horowitz – Raymond James: Okay. That’s all I had. Thank you.
Jennifer Straumins: Thanks.
Operator: Thank you. Your next question comes from Brian Zarahn from Barclays. Please go ahead Brian.
Brian Zarahn – Barclays Capital: Good afternoon.
Jennifer Straumins: Hi, how are you doing Brian?
Brian Zarahn – Barclays Capital: Good. Can you talk a little bit about the contribution of Superior to the first quarter results?
Jennifer Straumins: Superior has been a great asset for us. It’s run well all winter. It ran I think more barrels this winter that I had – ever had in its history and as you can tell from the differential it’s been a great deal for us. We don’t give plant by plant economic so.
Brian Zarahn – Barclays Capital: Okay. And then the news a few months ago, there was reports that you’re evaluating a JV project in North Dakota, can you talk a little bit about that?
Jennifer Straumins: Sure. That project is being done at our GP level. So it won’t immediately impact the MLP itself and that project is still continuing spiteful action has taken place and we – the general partner of Calumet is working closely with the engineering design firms and engineering consulting firms to make it go no go decision on that project here in the next couple of months.
Brian Zarahn – Barclays Capital: And any reason why the difference between doing the GP versus MLP at [indiscernible] level?
Jennifer Straumins: The timing of capital, it’s a two – it’s probably a two-year project and several hundred million dollars. So we won’t be able to match the cash flows out of the business with the capital.
Brian Zarahn – Barclays Capital: Okay. And the last question for me, it’s certainly accelerated your distribution growth rate since acquiring Superior. Can you talk about your thought process around the distribution? Do you think there maybe a little bit of a pause or do you expect to continue to see quarterly bumps?
Jennifer Straumins: I think we’ll continue to see quarterly bumps as we continue to grow the business. We made it – I thought pretty clear that at the end of the year in February, we didn’t do a real large distribution increase because we’d only had Superior for one quarter and we wanted to make sure that we’re realizing the cash flow out of that business that we have projected at the acquisition. So really this distribution increase helps catch us up for the contribution of Superior. You’re not going to – I would – we’ll continue to see modest increases. And overall, we’re targeting that 1.3 to 1.5 times coverage ratio.
Brian Zarahn – Barclays Capital: Thanks Jennifer.
Jennifer Straumins: Sure. Thank you.
Operator: Thank you. Your next question comes from Kelly Krenger from Bank of America Merrill Lynch. Please go ahead.
Kelly Krenger – Bank of America Merrill Lynch: Hi there.
Jennifer Straumins: Hi.
Kelly Krenger – Bank of America Merrill Lynch: Just a couple of questions, on the fuel products, on the gross profit margin that you show of $17, round number is $8 million. Do we need to add back that $24 million in realized losses on derivatives to get a clean number for that or I guess…?
Jennifer Straumins: It’s the realized number that you want to add back. I believe that number is $27 million.
Kelly Krenger – Bank of America Merrill Lynch: So is the fuel products had shown kind of – on that press release given your current accounting for it, is that $17.8 million is that kind of the un-hedged number?
Jennifer Straumins: No because.
Kelly Krenger – Bank of America Merrill Lynch: Un-hedged gross margin...
Jennifer Straumins: Pat, why don’t you explain that to him a little bit?
Pat Murray: Yeah, so when we de-designated the hedges as of 1.1 just on the crude oil side of the business then the realized loss, I guess or realized gain on those pieces of the barrel were reclassified to realized gain. So you need that number back to get a, kind of, result of the hedged portion on the segment, so you add $27.2 million back, I think if you add those pieces...
Kelly Krenger – Bank of America Merrill Lynch: The $17.8 million.
Pat Murray: Pardon me? Yes.
Kelly Krenger – Bank of America Merrill Lynch: So $27.2 million plus $17 million.
Pat Murray: $0.8 million.
Kelly Krenger – Bank of America Merrill Lynch: $0.8 million gives you about $45 million in the quarter. Is that right?
Pat Murray: Right.
Kelly Krenger – Bank of America Merrill Lynch: That’s the hedged growth margin for the products?
Pat Murray: That’s right.
Kelly Krenger – Bank of America Merrill Lynch: Okay. Okay. And then on SG&A, can you give us a sense for what you think the proper run rate for that will be going forward or what – the first quarter of 18…
Jennifer Straumins: Yeah we had some onetime items in that number for the first quarter. I think going forward a good run rate around $14 million.
Kelly Krenger – Bank of America Merrill Lynch: Okay. And then just, I know you commented on a little bit in the press release. I think in terms of the specialty products in terms of good demand, but can you just give us a sense for kind of what you’re seeing there on the demand side on specialty products side of the business and in terms of pricing given kind of how crude has been doing?
Jennifer Straumins: Sure. We have raised prices across all of our specialty products lined over the last six weeks. As crude prices ran up over the course of the first quarter and January was a little weak as the exchange rates were still. We’re still little tough for the export business that we’ve got a great export business going right now everything is very strong. And demand is good across all the products as it has been really for the last – it really since exiting the recession in 2010.
Kelly Krenger – Bank of America Merrill Lynch: Okay. So no real…
Jennifer Straumins: No real change one way or – no change from anything that we saw in 2011.
Kelly Krenger – Bank of America Merrill Lynch: Okay.
Jennifer Straumins: Or the latter part of 2010.
Kelly Krenger – Bank of America Merrill Lynch: Okay. I think that’s all for me. Thank you.
Jennifer Straumins: Right. Thanks Kelly.
Operator: Thank you. Your next question comes from Eric Seeve from GoldenTree. Please go ahead.
Eric Seeve – GoldenTree: Hi, sorry to ask this again. I just want to make sure I understand it though. For fuel products un-hedged, I’m trying to understand what earnings would have been from that business? What was the – what was un-hedged earnings have been?
Pat Murray: Un-hedged earnings, basically the cash settlements on the derivatives were about $30 million for the quarter on the fuel segment for the crack spread hedges. So you would need to add 30-bag to that.
Eric Seeve – GoldenTree: $30 million to the $17.8 million?
Pat Murray: Yes, to the gross profit number.
Eric Seeve – GoldenTree: Okay. So just to be equipped, the hedges cost you guys $30 million in the fuel segment in that quarter in terms of the realized hedges?
Pat Murray: That’s right.
Eric Seeve – GoldenTree: Okay. Thank you. Okay. One accounting question, I see that shareholders equity took a big step down from year-end to March, looks like it was in due to reduction comprehensive income. What happened there?
Pat Murray: That’s basically the change in the mark-to-market valuation of the hedging positions as the crack spreads widened out our derivative. If you look on our balance sheet, look at what the net derivative assets were at year-end and look to where they are today in that derivative liabilities there’s a pretty big change there. That’s driving the change in other comprehensive loss.
Eric Seeve – GoldenTree: Okay. Thank you. With respect to CapEx you spent almost $10 million in the first quarter, are you still in the $20 million or $25 million range for the full year?
Jennifer Straumins: We are. We had – we built a biodiesel plant at our Dickinson, Texas facility and so that was big part of the growth CapEx and also the rail project that’s in Superior has been very active over the first quarter.
Eric Seeve – GoldenTree: Okay. And so it’s still 20 or 25?
Jennifer Straumins: Yeah.
Eric Seeve – GoldenTree: Okay.
Jennifer Straumins: And we’ve always said to that if we’re generating a lot of cash in the business and we had good growth projects to come up, we’ll go ahead and do them. So the maintenance in environmental part of that 20 guidance that we’ve given that’s the maintenance environmental part, so growth projects is still to be determined based on our results.
Eric Seeve – GoldenTree: Okay. So it sounds like if the environment play strong, it’s probably prudent to assume that 20 to 25 number might rise throughout the year?
Jennifer Straumins: Yes.
Eric Seeve – GoldenTree: Okay. Okay, thank you. And just lastly, there is clearly the business is performing really well and benefiting from differentials both the WTI Brent differential which I guess is really helping Shreveport as well as the Bakken and Canadian differentials which are also helping Superior. There are different schools of thought over when differentials might subside, but can you just talk a little bit about how you – you guys have got to manage a distribution here. How do you think about that when you plan your distribution?
Jennifer Straumins: Sure. And that’s again why had this conservative distribution policy. We’re also doing a lot of hedging to help mitigate that risk. We’ve been able to put on some very strong hedges and the details of those will all be in the earnings release in queue here in few days. So that’s how we’ve really been able to do that.
Eric Seeve – GoldenTree: So when you talk about conservative distribution policies is that based on the 1.3 to 1.5 times?
Jennifer Straumins: Right.
Eric Seeve – GoldenTree: Okay, great. Thank you. And the last question for me is just it’s – depending on more CapEx ends up and depending upon where the rest of year ends up, you ought to have some pretty decent excess cash flow in excess of the distribution. What are there – other than potential CapEx projects what might year mark for that?
Jennifer Straumins: Paying down the revolver.
Eric Seeve – GoldenTree: Do you have a goal of fully paying down the revolver or…?
Jennifer Straumins: I wouldn’t even say we have a goal that’s just one of many things that we could do. We’re always looking for growth opportunities, acquisition opportunities. So we’ll find the way to spend the extra money.
Eric Seeve – GoldenTree: Thank you.
Operator: Thank you. We do have another question for you from Kelly Krenger again from Bank of America Merrill Lynch. Please go ahead.
Kelly Krenger – Bank of America Merrill Lynch: Thanks. Just another quick one on, I can’t remember – I don’t think you covered or you may have covered this if you do I apologize. But I think you mentioned in your press release that you may have had some downtime or turnaround on various facilities I think I’m just curious based on that and based on the CapEx that you spend, should we I guess from the normalized EBITDA or cash flow standpoint should we expect a pickup as a result of those things kind of going forward all things being equal?
Jennifer Straumins: Yeah because we did have quite a bit of turnaround spending in our first quarter numbers.
Kelly Krenger – Bank of America Merrill Lynch: Did that result in reduction in runs or cash flows or anything like that as a result of those or were you able to kind of mange around the turnaround?
Jennifer Straumins: Our solvents production was down about 1,200 barrels a day from where it has been due to those turnarounds. Our production out of our naphthenic refinery at Princeton that was also down several hundred barrels a day due to turnaround activity. So I expect to see run rate to pick up in the second quarter.
Kelly Krenger – Bank of America Merrill Lynch: Okay. And do you have any other meaningful or material turnarounds coming up there after the year?
Jennifer Straumins: We do not.
Kelly Krenger – Bank of America Merrill Lynch: Okay. Okay. That’s all I had. Thank you.
Jennifer Straumins: Right. Thanks.
Operator: Thank you. We have no further questions for you. So I’d now like to turn the call over to Jennifer Straumins for closing remarks.
Bill Anderson: This concludes the Calumet Specialty Products Partners’ earnings conference call covering the company’s first quarter 2012 results. Thank you very much for your participation in the teleconference. Please note that this teleconference will be available for replay using the instructions contained in our press release. Thank you operator.